Operator: Good morning, everyone. On the call today is Tom Caudle, President, Sean Goodman, Vice President and Chief Financial Officer. During this call, management will be releasing a webcast presentation that can be found at unifi.com. The presentation can be accessed by clicking the first quarter conference call link down on the Unifi homepage. Management advises you that certain statements included on today's call will be forward-looking statements, within the meaning of federal securities laws. Management cautions that these statements are based on current expectations, estimates and/or projections about the markets in which the company operates. These statements are not guarantees of future performance and involve certain risks that are difficult to predict. Actual outcomes and results may differ materially from what is expressed, forecasted or implied by these statements. You are directed to the disclosures filed with the SEC in the company’s Form 10-Qs and Form 10-K regarding various factors that may impact these results. Also, please be advised that certain non-GAAP financial measures such as adjusted EBITDA, adjusted working capital, adjusted net income and adjusted EPS will be discussed on this call and non-GAAP reconciliations can be found in the schedules to the webcast presented. I will now turn the call over to Tom Caudle.
Thomas Caudle, Jr.: Thank you, operator. And good morning, everyone. Thanks for joining us today. I will start today’s call with a brief overview of the first quarter before turning it over to Sean, who will take you through the financial details. We’re pleased with our first quarter results which were flat. The success of our strategy, providing the highest quality, innovative and sustainable product for our customers around the world. We're especially pleased with the performance of our international operations in both Asia and Brazil where we experienced growth and also soft market conditions in our domestic business. The quarter is a strong validation for the strategic decisions we’ve made over the last few years. First, our expanding global footprint is allowing us to accommodate the dynamic sourcing needs of our customers no matter what region of the world they occupy. Second, the global availability of our premium value-added yarns allows us to transition production volume around the world, balanced in commercial volume between the Americas and Asia to respond quickly and effectively to customer supply chain preferences and market demands. Quarter one saw strong volume growth in Asia as our global PVA product portfolio continued to gain traction with brands and retailers. Some of the growth in Asia has been driven by the transition of PVA volume from on nylon segment to meet customer supply chain requirements. We spent a great deal of time developing our capabilities in the Asia market, beginning with the REPREVE brand and expanding to other PVA technologies. As we expand our presence beyond China, the potential for growth remains substantial. In Brazil, we also experienced strong performance in a favorable market environment for synthetic yarns. Compared to the prior-year period, we saw both overall market growth and gains in market share. There are multiple factors that can impact our future performance in Brazil, including currency fluctuations impacting the relative attractiveness of imported versus domestically produced yarn, changes in the competitive environment, and the political and economic situation. Looking forward, we're watching the economic and political situation closely, particularly in regard to potential changes tariffs of certain of our raw material inputs that may adversely impact our business. But again, overall, we locked our competitive and growing position in Brazil and we're very pleased with the performance over the last two quarters. Moving to our domestic results. Sales volume for the company's domestic operations declined this quarter compared to the first quarter of fiscal 2016. While retail sales of apparel on a dollar basis had been flat year-over-year, apparel sales on a unit basis declined for the first time in three years. In addition, there continues to be excess inventory in the supply chain, with inventory at the end of September being almost 2% higher than the prior year quarter. This higher overall inventory level, coupled with the last two winner seasons being particularly mild and a number of major store closings this year included Macy’s, JCPenney, Dillard's, Sears, Sports Authority, and Kohl’s has resulted in caution amongst brands and retailers which has negatively impacted apparel production levels in the region. The decline in domestic sales is most notable in our nylon division where consumer demand for [indiscernible] apparel has been noticeably soft during calendar year 2016. In response, we're closely managing cost and production schedules at our nylons business, working with our nylon joint venture partner to increase customer acquisition. Our development efforts and customer relationships remain strong in this division. In terms of CapEx, we had a very successful grand opening of our REPREVE Bottle Processing Center in early September. We’re very proud of this plant that will provide almost 90 new jobs in Reidsville, North Carolina. As we mentioned in previous calls, this facility will have the capacity to produce 75 million pounds of clear polyester bottle flake annually, providing a dependable source of high quality raw material for our REPREVE restocking center. In addition to the obvious vertical integration benefit, we will explore additional revenue streams outside of our existing markets for textile products. I’ll let Sean cover more financial detail around bottle processing in a moment. Turning to our marketing initiatives, the company will continue our REPREVE National Mobile Tour with an enhanced interactive experience for consumers to learn more about REPREVE and the brands that we work with. The 2017 tour launch will start at the headquarters of Nike, Ford and Wolverine to further educate their employees on the benefits of using REPREVE. Based on the success we've had in the past, Unifi will continue to invest in professional sports marketing. We’ll also be working with key brands like Volcom, Haggar and others to increase co-branding at the point of sale. Additionally, we continue to grow volume with many brands and retailers such as Target, Levi's, JCPenney, Express and more as they adopt new co-branded programs and expand their lines and place replenishment orders. Before turning the call over to Sean, I would like to discuss our investment in Parkdale America. The soft domestic market conditions mentioned earlier, coupled with higher cotton prices, have created headwinds for Parkdale. And this comes after they recently completed some significant capital investment, focused on future growth and production efficiency. While Parkdale has recently faced a challenging market environment, we continue to believe that it’s well positioned as the low-cost supplier in the domestic market and we remain confident that performance will improve with better market conditions. With that as a backdrop, I’d like to turn the call over to Sean Goodman, our Chief Financial Officer, who will walk you through more detail around our financial results for the September quarter.
Sean Goodman: Thank you, Tom, and good morning to everyone. As Tom noted, we’re pleased with results for the first quarter, which shows strong growth across our key financial metrics and the success of our global PVA strategy. On page three of our presentation, we show a high-level overview of these results. For the quarter, net income increased by $1.4 million or 17% compared to the prior year first quarter. Strong consolidated operating results were further positively impacted by lower bad debt expenses and a lower effective tax rate. These benefits were offset by decline in earnings from equity affiliates of approximately $2 million, primarily due to weaker earnings from Parkdale America as a result of the challenging domestic cotton market, coupled with accelerated depreciation associated with Parkdale’s recent capital investment programs. Turning to slide four, you can see the sales and gross profit highlights for the first quarter. Remember that the discussion here focuses on our core segments, which exclude ancillary operations. You can refer to slide nine for the consolidated metrics. First, let's look at sales. Overall, we experienced a 1% decline in revenue, from $160.6 million in the first quarter of fiscal 2016 to $158.5 million this quarter. This despite an 11% increase in volume as measured by pounds sold. The decline in average selling price of 12% is mainly attributable to material cost in Q1 of fiscal 2017 being around 15% lower than Q1 of fiscal 2016. The remainder of the overall price decline is due to changes in the segment sales mix compared to the prior year first quarter. We’re pleased with the strong performance of our PVA portfolio, with sales growth this quarter at the top end of our expectations. For the year, we’re well on track to achieve our overall PVA sales growth goal of between 10% and 15%. Tom provided a detailed look at the conditions in the NAFTA/CAFTA region, Asia and Brazil. I will add that currency favorability in Brazil benefited revenue by about $1.7 million compared to Q1 last year, although currency translation for China was unfavorable by about a $0.5 million. Moving to gross profit, our gross profit margin on a segment basis increased from 13.1% in the first quarter of 2016 to 15% this quarter, resulting in a gross profit increase of approximately $2.8 million or around 13%. The international segment achieved strong margin growth in both Brazil and Asia, with Brazil benefiting from increased production levels and a favorable PVA product mix. Also, currency favorability in Brazil added about $300,000 to gross margin over the comparable quarter. In Asia, margin gains were achieved as our PVA portfolio expanded in the region. Polyester’s gross margin rate remained consistent with the prior period, with the benefits from PVA product growth offset by costs associated with the startup of our new bottle processing facility. The nylon business experienced a significant decline in margin due to lower production volumes described earlier, coupled with the transition of certain PVA programs to the international operations into Asia. Turning to slide five and looking at our equity affiliates highlights, at the end of the quarter, the company had approximately $117 million recorded for investments into unconsolidated affiliates. These investments consisted of our 34% ownership in Parkdale America and our 50% interest in two joint ventures that supply raw materials to our domestic nylon operations. Parkdale’s pretax earnings for this quarter were $1.7 million lower than last year. The nylon joint ventures experienced pretax earnings declines associated with the soft nylon business that we saw on the previous page. During the three-month period, we received a total of $750,000 in distribution from our equity affiliates. On slide six, we review the company's balance sheet highlights. Adjusted working capital of $131 million was approximately $10 million below September 2015 and approximately $5 million above the level at the end of June. As a percentage of annualized sales, adjusted working capital was 20.5% at the end of the first quarter. The increase from June 2016 is related to seasonal inventory increases, growth in our international operations, and the startup of the bottle processing facility. I’d like to take a few moments to talk about the bottle processing plant that commenced operations this quarter. Total capital spend on the project was approximately $30 million and we’re expecting a three to five-year EBITDA payback period. As anticipated, initial startup costs adversely impacted margins in the polyester division this quarter by roughly 1%. We would expect similar margin pressure in Q2. During the back half of the year, once we are over the initial startup phase, any margin pressure associated with bottle processing will be significantly less than during the first half of the year. The startup phase is progressing in accordance with our expectations and we are excited about the benefits that this plant will bring to our business. Moving to net debt and total liquidity, the company ended the current period with $131 million of debt principal and net debt of $110 million. Net debt increased from the beginning of the year, driven by planned capital projects. The anticipated capital expenditure this fiscal year remains at around $40 million, which includes $10 million to $12 million of maintenance CapEx. We target a three to six-year EBITDA payback period of capital projects. We expect net debt at the end of fiscal 2017 to be in line with that at the end of fiscal 2016. At the end of the quarter, the company’s weighted average interest rate for its outstanding indebtedness was approximately 2.6%. Total revolver availability and liquidity was $60 million and $81 million respectively. Before turning the call back over to Tom, I’d like to briefly address our outlook for fiscal 2017. On our last earnings call, we gave guidance for fiscal 2017 for low single digit percentage growth in sales and adjusted EBITDA. While we are very pleased with the outperformance we achieved in the first quarter, we’re still early in the year and we’re not providing our guidance at this time. I'll now turn the call back over to Tom.
Thomas Caudle, Jr. : Thanks, Sean. Our results for the September quarter mark a good start to our 2017 fiscal year and showed strong execution against our strategic plan. We’re confident that our global strategy positions us well to respond to our customers’ dynamic sourcing needs and deploys our resources in the best manner to return long-term shareholder value. I'll now turn the call over to the operator for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question is from Chris McGinnis of Sidoti & Company. Your line is open.
Christopher McGinnis: Good morning. Thanks for taking my question.
Thomas Caudle, Jr.: Good morning, Chris.
Christopher McGinnis: Can I maybe just dig into the international operations. Obviously, significant gains there. Can you just walk us through maybe what are programs there and what’s maybe organic-based revenue coming out of, I would guess, more Brazil than China?
Sean Goodman: Hi, Chris. It’s Sean. So, let’s talk about Brazil first. In Brazil, we’ve had a couple of things happening in the Brazil market that have really helped our business there. Firstly, we invested a lot in our PVA capacity to produce PVA product in Brazil. And that investment is really paying off. There’s been significant growth in the PVA product portfolio in Brazil. At the same time, our market share has also expanded, particularly in the PVA product area. But also, at the same time, the market for synthetic fibers in Brazil has expanded compared to the comparable quarter of last year. I think our comps versus Q1 in Brazil are relatively easy. Q1 was a relatively low point for the Brazil market. So, we have seen the market expand there. What’s also been happening in Brazil in during this quarter, as you saw it in the fourth quarter as well, the exchange rate environment was beneficial for the mix of product that we manufacture versus products that we import and then we sell. And our margins on the products that we manufacture are higher than the margins on the products that we imported to sell. We’re also running at a very high capacity in Brazil because of the high proportion of manufactured products and the high volume we’re getting on the PVA product, we’re running at high-capacity there. We get efficiencies from our manufacturing facility there as a result of that. So, all of these things came together to result in a very strong performance in the Brazil market. If you look at Asia, Asia continues to be a growth area for us. As you know, we’ve announced expansion into Sri Lanka. We continue to do that. We are very encouraged by the interest that we see from global brands and retailers to supply our PVA product into the Asian supply chain. And Asia is essentially entirely a PVA market for us. So, that’s a higher margin market for us. We expect this market to continue to show growth for us during the remainder of the year. So, in the international segment, still both Asia and Brazil performing very nicely this quarter as a result of the facts I just described.
Christopher McGinnis: Sure. That makes sense. And, I guess, just thinking about for the rest of the year, that was really stronger growth than I would have thought. You think we see those similar growth rates for the remainder of the year or you think it's more of an – just kind of perfect timing, especially considering what’s happening in Brazil.
Thomas Caudle, Jr.: Yes. The way we look at it, let’s think about Brazil first, I think we're going to see a continued strong volume in Brazil. We’re very encouraged by the product [indiscernible] in Brazil and I think we will see continued strong volumes in Brazil. Remember, though, that our comparables in Brazil are much easier in the first half of the year than the second half of the year because we’re going to see a pickup in the Brazil market in the second half of 2016. However, you would say that we would expect the margin rates in Brazil to be under some pressure in the remainder of the year relative to the margin rates that we saw in Q1 and the reason being is now with a stronger Brazilian real, a more stable Brazilian real, the mix of product between domestically manufactured and the imported for resell product will shift a little more away from the manufactured product towards the resell product. And that will adversely impact our margins. But volumes, in summary, on Brazil, the volumes should continue to be strong. The margin rate, we expect that to decline versus the levels that we saw in the first quarter. We’re also concerned in Brazil about some potential changes in tariffs. I think Tom referred to those in his script that could adversely impact our cost structure. So, we’re watching that could adversely impact our margins in Brazil further. When we look at Asia, with the Asian business, we think that the margin levels that we have in Asia should be fairly sustainable during the remainder of the year. Of course, it does depend on the mix of products there. But the margins in Asia should be available here too.
Christopher McGinnis: Okay. And last question, I’ll jump back in the queue after this, can you just talk about North America, how you guys feel positioned just with kind of the changing nature and maybe just a feel of how retailers and manufacturing apparels are thinking about heading into the prime season now I guess for the holidays. And can you maybe just expand on that. Obviously, it seems a little weaker. Just maybe your thoughts on what needs to change and what can maybe turn that segment around a little bit?
Thomas Caudle, Jr.: Sure. The domestic market and the NAFTA/CAFTA region performance for us has been relatively weak this quarter. We see a very uncertain retail environment and the key issue for us there is the level of inventory. Level of inventories remain at somewhat elevated levels versus historical level. And that is creating some softness in supply. And that coupled with another retail [indiscernible] impacting us. In the medium to longer term, we do expect the region to continue to grow. We’re optimistic about the region. We’re seeing a trend towards more regional [indiscernible]. We also do benefit from having got the segment from apparel to industrial to auto and as the – so that allows us to benefit as [indiscernible] continues to expand. But, right now, we’re seeing weakness in the domestic market and a lot will depend on how the winter season does and what – if we have a cold winter, that will help us [indiscernible] but it’s a much fragile environment at this point in time.
Christopher McGinnis: Great. Thanks for taking the question.
Thomas Caudle, Jr.: Thank you.
Operator: Thank you. Our next question is from Marco Rodriguez of Stonegate Capital Markets. Your line is open.
Marco Rodriguez: Good morning, guys. Thank you for taking my questions.
Thomas Caudle, Jr.: Good morning, Marco.
Marco Rodriguez: Hi. I wanted to talk a little bit more about the poly side here in the quarter. Obviously, volumes declined year-over-year and you’re also showing some year-over-year declines on the pricing and mix aspects as well. I just wanted to get a little bit better flavor here. On the volumes, if you can maybe talk about that. How much of that is the shifting again to more the PVA stuff with lower weight or adjusting to that soft retail environment and also if you can talk a little bit more about the pricing and mix aspects. I wouldn’t have expected that to come down so high on a year-over-year basis, if we are pushing more PVA type product.
Sean Goodman: Yeah. Sure, Marco. It’s Sean. Let’s just start on the pricing. When you look at the comparable, you see that raw material prices, Q1 of 2016 were about 15% higher than we were in Q1 of 2017. And what happened during the course of last year, the 2016 fiscal year, raw material prices were high in Q1. They dropped down around 15% by Q2. So just as you think about Q2 through Q4, our raw material prices, we expect to be broadly in a similar range in 2017 to what they were in 2016. However, in Q1, we did have a significant raw material price decline of about 15% [indiscernible]. And that is the predominant driver of price change in the polyester [indiscernible]. When you look at it from a volume point of view, our volumes are down by about 4%. We wouldn’t attribute that to a [indiscernible] change associated with PVA. That is really related to the retail softness that we’re seeing. In some segments, our volume is actually up and in some segments our volume is down. But, overall, the decline [indiscernible] is in line with retail stocks in the region.
Marco Rodriguez: Got you. That’s very helpful. And then kind of shifting gears here to the nylon business, again, a fairly significant year-over-year decline on the volumes. You, obviously, have a fairly large client in there. And you’ve pointed out the retail softness, I’m wondering if maybe you could talk a little bit more about kind of conversations you may have had with your largest customer there, whether this is a competitive issue that perhaps they might be having or is it just primarily the retail softness?
Sean Goodman: So, thanks. Look, there is the retail softness, is one factor. But the nylon decline is more than just the retail softness. The nylon decline is also consumer preferences. We are seeing a decline in maybe hosiery, casual clothing from nylon. There is that secular decline that we are seeing in the nylon market. We’re also seeing in a few segments, some share – some nylon share is being lost to polyester. Polyester is a less expensive fiber. So, we’re attacking the nylon situation on two fronts. One, we’re certainly managing our assets to control our cost in that area. And two, we are working together with our joint ventures partners to develop specialty [indiscernible] for nylon. But, as I say, going back to the beginning – nylon is probably more than just softness in retail environment. There’s other factors involved. And we’re seeing that across the board with our customers in nylon.
Marco Rodriguez: Got it. Very helpful. And last quick question and I’ll jump back in the queue. In your prepared remarks, you guys talked a little bit about adding additional revenue streams. I think you said outside of what you guys currently are doing. Can you kind of expand on that and give some examples as far as what that might be? And then, also, if you can perhaps talk about any sort of strategy or strategic shift you might need to enter those markets and any sort of upfront costs that that might entail?
Thomas Caudle, Jr.: Yeah. Marco, this is Tom. That is mostly related to our bottle processing facility. And we were talking about going into maybe some food packaging and some other areas for our polyester flake coming out of our bottle processing and also potentially some other uses for our recycle polymer – our REPREVE recycling center as well.
Marco Rodriguez: Got you. And do you have any sort of timing aspect in regard to that?
Thomas Caudle, Jr.: We’re looking at those markets and I think we’re out seeding those markets right ow with product. And that will be a gradual market increase over time. And I guess another end use would be non-wovens as well for our products.
Marco Rodriguez: Got it. Okay, thanks a lot, guys. Appreciate it.
Thomas Caudle, Jr.: Thanks, Marco.
Sean Goodman: Thank you, Marco.
Operator: Thank you. We have a follow-up from Chris McGinnis from Sidoti & Company. Your line is open, sir.
Christopher McGinnis: Hey, guys. Just a couple – one question. I was just thinking about the – Sean, I think your comments about Brazil and almost that full capacity, with the changes that were made or, I guess, the competitive landscape last year, would you guys consider maybe adding capacity in that region, maybe where you’re at in the thought process if you’re performing so well, I guess, thinking ahead of the tariff if something happens there negatively. And then I was just thinking about your thoughts for growth in that region.
Thomas Caudle, Jr.: Yeah. Chris, this is Tom. I think we look at that market very positively. It’s a difficult environment to do business down there because of all the issues that Sean and I have discussed previously. But, certainly, if market dynamics dictate, I think we would consider future expansions down there for sure.
Christopher McGinnis: Okay. And, I guess, that capacity – the current capacity you’re at sounds pretty positive – are you close to full?
Thomas Caudle, Jr.: We are. Well, currently, we’re very close to full capacity. We’ve continued – as Sean alluded as well, we’ve continued to invest in the capacity there, adding PVA capabilities, which we’ve benefited greatly from. And we will continue to do that as needed.
Christopher McGinnis: Okay. Any developments on the Nike and Apollo and speaking with Nike at all or working with Nike, any developments on your side of – their thought process for investing in the region?
Thomas Caudle, Jr.: Well, I think Apollo and Nike, for us, at least on the surface is positive. This reinforcement that the brands and retailers are moving programs back to this region. And as well as Nike and Apollo, there are other potential entrants to this market coming back, especially in knitting and weaving capacity that are potentially moving back to this region based on what they’re hearing from the brands and retailers. So, we’re encouraged about our business regionally long-term.
Christopher McGinnis: Great. Well, thank you very much for the time today. Appreciate it.
Thomas Caudle, Jr.: Thank you, Chris.
Sean Goodman: Thanks, Chris.
Operator: Thank you. At this time, there’s no other questions in queue. I will turn it back to Mr. Caudle for any closing comments.
Thomas Caudle, Jr.: We thank all of you for joining us today.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes your program. You may now disconnect. Everyone, have a great day.